Operator: Welcome to MasTec's second quarter 2008 earnings conference call initially broadcast on July 31, 2008. Let me remind participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Please go ahead, sir.
Marc Lewis: Thank you, Aarta [ph], and good morning everyone. Welcome to MasTec's 2008 second quarter earnings conference call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking such as statements regarding MasTec's future results, plans, and anticipated trends in the industries where we operate. These forward-looking statements are the company's expectations on the day of the initial broadcast of this conference call and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties, and assumptions are detailed in our press release and in the filing with the Securities and Exchange Commission. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In addition, we may make use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measure that’s not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings press release or on the Investor Relations section of our website located at mastec.com. With us today, we have Jose Mas, our President and Chief Executive Officer, and Bob Campbell, Executive Vice President and Chief Financial Office. The format of the call will be opening remarks and analysis by Jose followed by a financial review from Bob. These discussions will be followed by a question-and-answer session and we expect the call to last approximately 45 minutes. Jose?
Jose Mas: Thank you, Marc. Good morning and welcome to MasTec's second quarter call. First, some second quarter highlights. Revenue was up 19%. Earnings per share were $0.25 prior to a legacy legal charge of $0.02. Utility customer revenue doubled from $52 million in the second quarter last year to $105 million in this year’s second quarter. Diversification improves as utility customer revenue now accounts for 34% of the company’s total revenue compared to 20% in last year’s second quarter. DirecTV concentration went from 47% of total revenue in the first quarter to 35% of our revenue in the second quarter. And during the quarter we acquired Pumpco, further increasing our participation in the natural gas space and getting us the added capability of transmission pipeline construction. In summary, we had a solid second quarter. Over the course of the last 18 months, we have been focused on two primary objectives; improving margins and diversifying our service offerings. Yesterday we increased our annual guidance and we expect solid margin improvement in 2008 despite significant fuel cost increases, which impacted second quarter by $4.4 million despite increased interest expense, which impacted second quarter by $1.5 million and despite the challenges in expenses associated with our accelerated growth. Our diversification efforts are exposing MasTec to high growth markets and truly changing the mix of our business. Today we are much better positioned to take advantage of the opportunities that our different markets afford us. Now let me spend a few minutes on our business and customers. Our communications business continued to deliver strong results. Verizon, AT&T, Embarq and Qwest were all up sequentially from the first quarter, and AT&T and Quest were up sharply from last year. The expansion of fiber networks continues to be a driver for this business and we expect that to continue. Our install-to-the-home business was slightly lower than expected. As we indicated in our last call, the second quarter is our seasonally weakest of the year and we were expecting a sequential decrease of approximately 8%. The business was down 14% sequentially, as the loss of BellSouth sales had a larger than expected impact on MasTec. We did, however, see improvement as the quarter progressed and expect revenues in the second half of the year to be similar to 2007 levels. We are encouraged by both DirecTV’s recent announcement of an expansion of high definition channels to 130 channels by mid-August and by AT&T announcement of their intent to end their agreement with DISH Network and reopen negotiation with both providers. As previously stated, our utility business doubled in the second quarter from $52 million to $105 million, and now makes up 34% of the company’s total revenue. Growing this business has been a major area of focus over the last 18 months and we are beginning to see the results. We continue to add resources to our transmission capabilities and had a number of wins during the second quarter. Our recent expansion to the wind energy space had a positive impact in the quarter with the wind energy revenue accounting for over 6% of total revenue. We continue to add backlog in that business and expect wind energy revenue to exceed 10% of total revenues in the third quarter. Investments in wind energy continue growing at a very accelerated pace and we believe this industry offers MasTec an excellent opportunity for growth. During the quarter, we also closed on the acquisition of Pumpco, further enhancing our natural gas service offering as we see this as another area of growth for MasTec. Over the course of the last quarter, we saw significant activity from our natural gas customers. A number of them began exploration in new geographic areas. And XTO, one of our largest customers, recently made a $4 billion investment in this space through its acquisition of Hunt Petroleum Corporation. We are excited about our opportunities in this space and we welcome the Pumpco to MasTec. Finally, our government customers also delivered strong results. Revenue from these customers was up 20% year-over-year, primarily driven from our water and sewer customers where we continue to see strong activity. In conclusion, I committed that MasTec would diversify and reposition itself to take advantage of the growth opportunities in what we perceive to be the growing segments of our industry. We’ve done that. Over the past 18 months, we increased our capabilities in the natural gas sector. Our energy background and experience has positioned us well to participate in the wind power industry, one of the fastest growing areas in our economy. And we have accomplished this while increasing revenue and improving margins, also part of our commitment. We will continue to pursue growth opportunities in other areas in our industry as part of our continued commitment to be at the forefront of the opportunities in our markets. I will now turn the call over to our CFO, Bob Campbell. Bob?
Bob Campbell: Thank you, Jose, and good morning. As Jose mentioned, our second quarter was an excellent quarter and we remain optimistic for the rest of the year despite a tough economy. My highlights for Q2 are as follows. Q2 revenue was up 19%, exceeding $300 million. Revenue from our utilities customers doubled in Q2, helped by our recent wind farm and natural gas pipeline acquisitions. Reflecting further diversification of our customer base, we had two wind farm customers and two pipeline customers in our top ten customer list for Q2. EPS was $0.23 per diluted share, ahead of our guidance and also ahead of the Street consensus of $0.21. Our earnings of $0.23 per diluted share included a $0.02 legacy litigation charge and we had over $4 million in additional fuel costs. Operationally we had a strong quarter. Our financial condition, liquidity and cash flow remain strong. We just completed a new five-year bank deal expanding our credit facility from $150 million to $210 million. And finally, we are increasing our EPS guidance to $0.88 to $0.92 per share for the full year. That’s a 31% to a 37% increase in earnings. Now for the details. Revenue was up 19% to $305 million and fully diluted earnings per share were $0.23, including a $0.02 per share charge for legacy litigation. We exceeded our guidance and also exceeded the Street consensus of $0.21. Our financial performance was in spite of one very difficult headwind as gasoline and diesel prices were up much more than we anticipated when we issued our Q2 guidance. Average gasoline prices were up $0.61 or 20% versus Q1 and diesel prices rose even higher, up $0.74 or 20% from Q1. This price jump is particularly improvement since we have a truck, van, and equipment fleet of about 9,000 units. Fuel cost increased about 80 basis points from Q2 2007 levels, which had a $4.4 million impact. Our gross margin in Q2 2008 slipped from 16.8% last year to 14.9% this year. That’s without depreciation. The decrease was primarily the result of the negative impact of fuel prices. The change in fuel prices was even more dramatic year-over-year than the change versus Q1. Average gasoline prices were up 27% from Q2 last year and average diesel prices were up a whopping 51%. We continue to work on getting additional fuel cost relief from our customers with some success. In addition, a softer economy is impacting volume with some of our customers, making us less efficient and that hurts margins. Some of this was offset by our focus on productivity, especially at the individual crew level and our continued rollout and training regarding new productivity measurement tools that we have developed. Q2 G&A expense was down 140 basis points from 7.9% to 6.5% of revenue. Stock compensation expense was down and outside legal fees continue to drop as we wind down our old legacy litigation. Outside legal costs dropped from $2.2 million in Q2 last year, down to $700,000 this year. Included in G&A expense for Q2 this year was $1.6 million in additional accruals for a number of legacy litigation items that we have now settled, some positive, some negative. When we developed the accruals for last year’s $39 million legacy litigation charge, we estimated the dollar amount and the outcome for each case. When individual case outcomes vary from our estimates, we will be booking the pluses and minuses. Therefore, you may see some P&L hits and some P&L pickups within our quarterly financial results as we go through the rest of the year. Our guidance excludes both the positive and negative impact of the legacy litigation. As we’ve been saying all year, we expect to get all or substantially all of the major legacy litigation cases behind us by the end of the year. Net interest expense was up about $1.5 million or $0.02 per share due to lower interest rates on temporary investments and lower cash balances due to cash used in acquisitions and business expansion. For the second quarter of 2008, our customer base had some nice additions related to our diversification strategy. The ten largest customers were DirecTV 35% and that’s down from 47% last quarter; Verizon 8%; AT&T 6%; Energy Transfer Company 6%, and they are a new natural gas pipeline customer; Tetra Tech and Mortenson are two new wind farm customers; and Embarq, Qwest, Pecan Pipeline and Progress Energy, all of these were at 3% each. Reflecting the customer diversification that Jose talked about, it is worth noting that our top ten customers now include one satellite television customer, four telecom customers, two wind farm customers, two pipeline customers, and one electrical utility customer. Today backlog is about $1.4 million and that’s an 18-month backlog number. Even that we believe that fiber deployment work will last for many years, our backlog only includes the specific work for which we have visibility. We are especially proud of our strong financial condition. Our balance sheet is in great shape. Most of the debt is the $150 million ten-year senior notes that was sold last year. The interest rate on the notes was 7.625% and the bonds have a 2017 maturity. So, we really don't have much in the way of debt maturities for nine more years. We have just expanded our bank credit facility from $150 million to $210 million. The five-year credit facility has an accordion feature, making it expandable to $260 million under certain circumstances. For our expanded credit facility, we obtained a current interest rate of LIBOR plus 200 basis points, which seems pretty good in today’s credit markets. We currently have no draws on the credit facility, although it does support about $90 million in letters of credit mostly for our self-insurance programs. Cash flow from operations has been solid in 2008, but is down from last year. Cash flow from operations was $14 million for 2008 year-to-date compared to $27 million last year. Net income and depreciation were both solidly up. However, the increases were more than offset by a $30 million increase in accounts receivable. The increase in AR was due to the 19% spike-up in Q2 revenue and some slippage in DSOs to 59 days. The DSO increase was mostly due to a shift in revenue mix, with big increases in revenue in markets with inherently higher DSO characteristics. Having said all this about our DSO increase, we are not happy with 59-day DSOs. And we’ll be attacking billing and collections over the rest of the year to get our money quicker. Our cash flow and for that matter our P&L are both helped by our tax position. Regarding cash taxes, we have a federal tax net operating loss or NOL of over $210 million, which we can carry forward against our future tax liabilities. Based on current projections, we should pay a modest amount of cash taxes in 2010 and then be a full cash tax payer in 2011. In the meantime, there may be small tax payments to states that don’t recognize our NOLs and potentially a small amount of federal alternative minimum tax. Regarding book taxes on our P&L, we are currently not recording any federal tax expense because we have about $33 million of book P&L tax benefit that we have not yet recognized for P&L purposes. In a big picture sense, we can offset $33 million of book P&L tax expense before we start accruing taxes again. In simple terms with the 38% tax rate, that means that the next $87 million of net before tax profit will be without a significant tax accrual. While we are not ready yet to give 2009 guidance, we should use up this book tax benefit and start accruing significant taxes in the second half of 2009. However, there will be small amounts of state taxes accrued each quarter for states where we don’t get NOL benefit and also for Texas franchise taxes. Our year-to-date state tax expense is $440,000. At the end of the second quarter, we had $135 million in cash availability on our bank revolving line of credit and securities available for sale. $18 million of the cash is restricted. You should note that on our June 30th balance sheet we have moved $27 million of securities available for sale out of current assets. This reclassification of our securities available for sale, which are auction rate securities, reflect the fact that the securities continue to fail monthly auctions. And the company is currently committed to holding the securities until credit markets normalize and we can try to liquidate these securities at par. We have taken a $7 million life-to-date temporary impairment charge against equity to reflect the estimated market value of these securities, although in Q2 we had a small write-up in our balance sheet carrying value. Now let’s move on to 2008 guidance. Yesterday we increased our 2008 guidance. We now expect 2008 revenue in the range of $1.210 billion to $1.230 billion and expect diluted earnings per share to be between $0.88 and $0.92. That’s revenue growth of 17 % to 19% and earnings growth of 31% to 37%. The 31% to 37% growth in EPS is off of our 2007 continuing operations EPS base with the $39 million legacy litigation charge added back. So we are comparing $0.88 to $0.92 this year to a pro forma $0.67 for last year, which is a good comparison of operating results. Q3 guidance was also updated in yesterday’s earnings release. Revenue for the third quarter of 2008 is expected to be between $340 million and $350 million, with diluted earnings per share of $0.30 to $0.32. That’s Q3 revenue growth of 27% to 31% and earnings growth of 67% to 78%. The 67% to 78% growth in the EPS is off of our Q3 2007 continuing operations EPS, with the $39 million legacy litigation charge added back. So we are comparing $0.30 to $0.32 this year to a pro forma $0.18 for Q3 last year, which is a good comparison of operating results. Our guidance assumes a continuation of today’s soft economy and is not dependent on a second half recovery in the economy. On the other hand, our guidance does not contemplate a significantly worsening economy or further dramatic increases in fuel costs. Additionally, as in the past, our guidance does not include the impact of our legacy litigation, either positive or negative. I hope these comments regarding Q2 are helpful. In closing, just to echo what Jose said, we had a good quarter and we also expect to have a good year. Our revenue is growing. Diversification is pretty more reliability and a greater spread of risk into our business model. We will continue to reduce costs and become more efficient, and we expect improving earnings. That concludes my remarks. Now let me turn the call back to the conference operator for the Q&A. Thank you.
Operator: (Operator instructions) And we’ll go first to Liam Burke at Janney Montgomery Scott.
Liam Burke – Janney Montgomery Scott: Good morning, Jose.
Jose Mas: Hi, good morning, Liam.
Liam Burke – Janney Montgomery Scott: Could you give us a general sense, maybe Bob, on how much of the utility growth was organic versus acquisitions? I know that you didn’t break it out specifically and it’s a sensitive question, but generally how you saw the breakout?
Bob Campbell: When we look at our organic growth and I think when we look at the acquisition specifically of Power Partners, we don’t view that as a pure acquisition. We didn’t by a backlog of business. We didn’t buy a number of existing contracts. We bought a team that we felt could ultimately go and execute on a business model. But we view that growth a lot more organic in nature than we do acquisitive in nature because we had to carry the expenses on our books for four months before we started projects. We had to work hard to win those contracts. So we kind of view that acquisition a little bit differently. Overall from our overall growth, about 9 – of the 19%, about 11% was acquisitive and the balance was what we would consider organic.
Liam Burke – Janney Montgomery Scott: Okay. And on the acquisition front, how has the pipeline looked?
Bob Campbell: You know, we’ve – it’s a strong pipeline. There is a lot of opportunities out there. I think we’ve been very disciplined about not only what we are buying, but our approach to how we are buying it. So there is obviously a lot more deals that we’re passing on than those that we’re ultimately executing. We feel good. We feel good about what we bought. We think that ultimately we’ve really expanded the areas of business for MasTec into some very nice areas. We’ve been very vocal over the last couple of quarters about our desire to get into some other areas that we are not currently in, and we’ve been working hard on those as well.
Liam Burke – Janney Montgomery Scott: Okay. Thank you.
Bob Campbell: Thank you, Liam.
Operator: And next we move to Alex Rygiel at FBR Capital.
Alex Rygiel – FBR Capital: Thank you. And congratulations on a very nice quarter.
Jose Mas: Thank you, Alex.
Alex Rygiel – FBR Capital: Two questions. First, Jose, can you comment on backlog, maybe quantify backlog, and also touch upon what the mix of backlog looks like relative to the mix of your revenue sort of by segment in the current quarter?
Jose Mas: Our backlog stands at about $1.4 billion, which is somewhat similar to where it was at the end of the last quarter. We obviously performed $300 million worth of work during the quarter. So we picked up obviously that balance back in backlog. We are not going to break out our backlog by the different areas of the business. Obviously, our wind power business and our gas business has increased significantly from where it was in Q1 because they are much bigger part of the company. Again, a big piece of our business is still what we consider MSA driven, or Master Service Agreement driven, which I think backlog doesn’t necessarily give you a great indicator into how that business is doing or where it’s going. So I think backlog is an important number, but it’s not a telltale number. So we’ll keep giving out our total backlog number without much around it. I think, as you think about, our wind business was about 6% of total revenues, just over 6% of total revenues this quarter. We expect it to get into double-digit revenues, total revenues next quarter. We’ve obviously only going to have nine months this year of revenue in that business. So on a full year basis, it may not achieve double digits, but that’s obviously – it’s obviously where we want to be long-term. On the natural gas side of the business, we see that as a growing area as well and think we are going to be in those kind of levels.
Alex Rygiel – FBR Capital: Last question. You haven’t mentioned too much about electrical transmission work on the call. Could you kind of touch upon that end market outside of wind energy and maybe comment on the Three Phase acquisition from a while back and how that’s progressing?
Jose Mas: Sure. We kind of consider Three Phase as part of our transmission strategy. Briefly said in our earlier remarks that we had a good quarter from a transmission perspective. We picked up a number of jobs. It’s an area of our business that we continue to grow, we continue to expand into. The growth in that sector hasn’t been as dramatic as we’ve seen it in some of the other areas of our business. Obviously there is a lot of capital requirements and expertise involved in really growing that business. But we are doing it. I think that the opportunities in that business are coming. The Texas PUC just passed some very aggressive goals to hit [ph] from now through 2012, which is going to dramatically increase transmission spend in that state. We think that’s going to continue. So it’s obviously a growing market, one that we are participating more and more in each quarter. And we think we are executing to that.
Alex Rygiel – FBR Capital: And actually I do have another one. Could you quantify the accretion from Pumpco in the second quarter and/or attempt to put a range on the accretion Pumpco embedded into your guidance?
Jose Mas: Sure. For the quarter, represented just under 7% of revenues, added a couple cents of EPS. So if we look at our business, kind of offset the legacy legal issues. So had we not done the Pumpco deal, we think we would have been toward the higher end of our guidance range, excluding legacy legal. So we think we could kind of offset. We are very excited about Pumpco. Pumpco is a business that is undergoing dramatic growth. We’ve somewhat shifted the focus of that business early in the year to go from smaller diameter pipe to large diameter pipe, which really required a lot of training in the first quarter. They continue to do small diameter pipe, but we think that there is a lot more growth and growth potential in the large pipe. They are now capable of doing automotive welding, which we think is a big strategic advantage that they have and they really spent – spending the first part of this year really learning that and training for that. So we’ve brought margins from our expectations down from where we have historically been. Hopefully we can achieve their historical margins, but in our current guidance we’ve actually tempered down their margins versus what they have historically been.
Alex Rygiel – FBR Capital: Thank you very much.
Jose Mas: Thank you, Alex.
Operator: We’ll go to our next question from Michael Novak of Frontier Capital.
Michael Novak – Frontier Capital: Hi, Jose, good quarter.
Jose Mas: Hi, Mike, how are you?
Michael Novak – Frontier Capital: Good. Thanks. In terms – just following up on Pumpco, could you give further details on why they had a loss in their first quarter that you – in that 8-K you put out yesterday? And then when you look out, let’s say, two or three years, how big of the business do you see this being? And I know you said you tempered the operating margin expectations, but how should the earn-outs play and what sort of margin business should this be over time?
Jose Mas: So when we look at performance for the couple of months that we had them in Q2, they obviously in our opinion performed well. Obviously, par in excess of what they were able to do earlier in the year. Earlier in the year they had a couple of issues. One, again, they really spent a lot of money, time in training and learning. The automatic weld process, which they thought was a very important component of them being able to get into the larger diameter pipe, there was a couple of jobs that’s started, that had some material issues or material delivery delays in that first quarter, which affected them. So we think there – we are very comfortable that over the first three or four months of this year, their performance was an anomaly and we’ve seen that. So we are very comfortable that we’re going to be able to achieve operating margins in excess of where we’ve historically been. And what we’ve said all along is the acquisitions that we are looking at are not only in businesses that we think have a higher growth characteristic, but also higher margin potential. And we think Pumpco offers that to us. Added to our existing natural gas business, the natural gas business is obviously becoming a bigger part of the MasTec revenue stream. And as I look at, at least into the foreseeable future, we expect that to be as a total business, double digits as a percentage of total revenue, how high in double digits can that get. I don’t necessarily know that we want to get into that, but obviously we bought it because we think it has a better growth characteristics in our historical business and we are seeing that today.
Michael Novak – Frontier Capital: Would you be willing to share the earn-out hurdles?
Jose Mas: Yes. Actually they are filed, you can find them, but basically we paid $44 million in cash plus the assumption of some debt. We've agreed that we pay 50% over a $7.5 million threshold. So the first $7.5 million goes to MasTec and the remaining earnings are then split 50/50 for a period of time under the earn-out.
Michael Novak – Frontier Capital: The period of time was what I was trying to get at.
Jose Mas: Five years.
Michael Novak – Frontier Capital: Five years. Great. Thanks. Good quarter.
Jose Mas: Thank you.
Operator: Next we’ll go to Eric Kainer at ThinkPanmure.
Eric Kainer – ThinkPanmure: Thank you very much for taking my call and congratulations on a simply fantastic quarter.
Jose Mas: Thank you.
Eric Kainer – ThinkPanmure: On the last call, you mentioned that you got $50 million worth of wind contract that you thought would all be revenue this quarter – this year. With the 6% or so that came in, in the first quarter and the 10% plus next quarter, obviously that’s going to put us basically at or over $50 million already. It looks – maybe I shouldn’t use the word sandbag, but it looks like the numbers that you are putting up for the year just based on what you should get out of the traditional business, plus wind without evening accounting for things like Pumpco should put you really at or over the top end of the annual range. I mean, am I looking at something incorrectly?
Jose Mas: When we look at the Q3, obviously we’ve given $340 million to $350 million in revenue guidance. Hopefully we expect the wind to exceed 10% of that. You’ve got a good idea what our Pumpco revenues are. We are happy with our growth. I think looking back historically, one of the real marks on MasTec and one of the issues that we’ve had to deal with is really the credibility of management and our ability to continually hit not only guidance but do the things that we say we are going to do. That’s really been part of our philosophy, is to really change that perception and to continually not only hit but also exceed all the goals and objectives that we set for ourselves. If we achieve the numbers that we’ve laid out for the balance of the year, we think we’ve had a fantastic year in spite of the economic conditions. Do we think we can do better? Obviously we are going to strive to do better, but at the same time, with what we’ve laid out, I think it would be a fantastic year for MasTec. Our Q3 guidance assumes 27% to 31% revenue growth that assumes 58% to 68% EPS growth, backing into our fourth quarter guidance. We are assuming double-digit revenue growth. We are assuming 53% to 67% EPS growth. 6.1% operating margins versus 4.6% operating margins in last year’s quarter. 5% to 5.5% operating margins in the fourth quarter compared to 3.7% last year. I think those are very telling signals and very successful numbers that we are balancing for the remainder of the year. With that said, we are obviously internally going to strive to do better than that.
Eric Kainer – ThinkPanmure: I’m guessing that you will do better than that. And I’d like to talk a little bit more about the wind business, a couple of specific things. Obviously there was a major wind power show in Houston at the beginning of June. I wonder if you can tell us kind of how – what kind of resulted from that if you could? And then the second thing is, help me understand maybe a little bit more about how the wind power projects play out? Are these things that wind up getting contracted and then maybe get installed over a month? I mean, did they get installed over six months? How does that play out logistically?
Jose Mas: Sure. I think – we’re obviously very excited about the wind power industry. I think it’s also only a business that we’ve been in for a couple of months and I think it’s important to understand that. So as we look at our projects going forward, obviously we have high expectations and we actually think that this could be a very, very significant piece of the business going long-term. But we are also taking a conservative approach as we model that out. The investment in wind power is significant over the course of – at the end of 2007, there was approximately 18,000 megawatts of wind power installed. Currently under construction there is almost 6,000 megawatts. So almost a third of what’s historically been done is currently under construction. The estimates are anywhere from $1 million to $2 million of megawatt. So obviously the investment in wind is in the billions and billions and billions of dollars. Typically on a wind farm, and you have a lot of owners that do things differently, but either, A, there is a GC that’s hired to do everything related to the building of that wind farm, or you have certain customers that break out the electrical piece and then the non-electrical piece of the wind farm. We are working for both. We are working for some GCs where we are doing the electrical component for them. We are working for some people directly doing the electrical. They are short-trigger jobs. They are not month jobs, but obviously all of the work that we secured early in 2008 is to be completed by the end of 2008. We don’t think these are projects that are going to drag on over a year. So really our focus right now has been on building our backlog for 2009 and beyond. We think there is a lot of opportunities. We feel good. We, obviously based on your comments earlier, had won more projects as the year has progressed and we expect to do significantly more than $45 million for the year in wind. But really the focus today because we are – most people want to get the farms that they have put out done by the end of this year. Our focus now is really in winning the work as 2009 starts and to have a real strong backlog going into the next year to hopefully significantly grow this business.
Eric Kainer – ThinkPanmure: Okay. One last question on wind. And that is, is this a seasonal business? Is this something that for some reason winds up being stronger and in the middle of the year than at the beginning and end, or what characteristics might that exhibit?
Jose Mas: Again, we are somewhat new into the business. So I think time is going to tell. We do expect some seasonality for various reasons. One obviously is, as you get farther north into some of the wind states, there are weather issues that are going to affect the ability to perform construction activities. In the winter months, specifically over the course of the last few years, a lot has been made of the energy tax credits. And for example, this year everybody is pushing hard to get their builds done before the end of the year and before the energy tax credits expire. We fully believe that those tax credits are going to get extended, but I do think that depending on where that is, there is usually a push to get projects done by the end of a fiscal calendar year. Thus when you start a year for both weather and construction issues, you are working on a lot of engineering and design early in the year, you do a lot of construction in the better months of the conditions, and then it goes strong through the year. So I would probably say that, you know, we think that the first quarter is going to be the seasonally weakest quarter for that business, although we are working real hard now to secure a couple of projects that will take us through those winter months and hopefully offset that.
Eric Kainer – ThinkPanmure: Okay. Now on Pumpco, did I understand that correctly that Pumpco was 7% of revenues in the quarter, given that that was an acquisition that was made in the middle of the quarter? I must have misunderstood that, right?
Jose Mas: No, that’s correct. We basically recognize two months worth of their operations.
Eric Kainer – ThinkPanmure: So, two months worth of their operations is already 7% of revenue?
Jose Mas: That’s correct.
Eric Kainer – ThinkPanmure: Wow! Okay. Very impressive. And then the last thing from me is, Texas, which I think you mentioned a little earlier, apparently put through some approval where they want to build a lot of transmission to support some wind farm activity in East Texas. I wonder if you can tell us your view of how that winds up getting contracted and whether the opportunities for you are more as a prime contractor or subcontractor there, if indeed you wind up participating [ph].
Jose Mas: So – it’s a good question, Eric. I think there is a couple of things that come from that. Texas PUC pretty much had a choice. They had three plans on the table. One, which had them building about 12,000 megawatts, another had 18,000 megawatts and a third one had building transmission to be capable of 25,000 megawatts. And they chose to go the route of the 18,000 megawatts, which is approximately a $5 billion investment. Current wind capacity in Texas is about 5,500 megawatts. So building transmission for 18,000 megawatts has two things. It says, one, that they obviously expect the wind power business in that state to dramatically even from where the current levels are, which is probably the most aggressive state from wind power, historically speaking. So, A, it’s really good for the wind business and for the characteristic of what’s going to happen there and what we expect to be increased activity in that market on wind. And second, obviously it creates the opportunity for a significant build out of transmission lines to make that capable. Who builds those transmission lines? Who owns those transmission lines? A lot of that is still up in the air. There is a lot of obviously people trying to put themselves in a position to be in those positions. And as more of that information comes out and as that begins to get solidified, then obviously we’ll know where our opportunities lie for the transmission piece of that. So I think there is sometime. We are obviously involved. We are working on transmission projects in Texas currently and we expect to at least get a piece of that business over the course of the next four or five years.
Eric Kainer – ThinkPanmure: Okay. Well, congratulations. It doesn’t sound like you are going to be opportunity limited here anytime soon. Good luck [ph].
Jose Mas: Thank you, Eric.
Operator: Next we move to Todd Mitchell at Kaufman Brothers.
Todd Mitchell – Kaufman Brothers: Thank you very much. My question is basically on the DirecTV business. You mentioned it was down 14% sequentially, and it looks like it’s down about 8% year-over-year. So I’m assuming that’s sort of a better comp on activity. If you look at the third quarter, can you help me remember how much that was impacted last year on the negative side? And do you think it will come positive this year?
Jose Mas: Couple of things. Overall as a customer, DirecTV was down about 3% year-over-year because Q2 is historically our seasonally weakest quarter, so we always see a debt in Q1 to Q2. Last quarter we talked about a lot of that dip and we said historically that’s ranged anywhere from 6% to 8% and we thought it would be in that range. Obviously it dipped a little more. We think that our dip isn’t necessarily reflective of DirecTV’s business. We think our dip has a lot more to do with the BellSouth impact, which no question had a bigger impact than we originally anticipated. Now the positive side of that is while that account basically switched over on April 1, we saw it improve a lot as the quarter went on. So we think DirecTV still offers a superior product. Based on AT&T’s results over the quarter with their dish sales and that was actually a very core number. We think DirecTV sits very well in the market and we expect them to make up a lot of that shortfall that we originally saw in the BellSouth dip. So I think that – unfortunately we are looking at a quarter where that change happens. I don’t think it’s reflective of where we expect for the end of the year. There is no question the business is somewhat down versus last year when you – we obviously had issues in that business that last year. We would have expected some growth in Q3 and Q4. I still think we might get some. We might be closer to ’07 levels, but I don’t think you are going to see significant – I don’t think you’ll see a dip from the ’07 levels as we look at Q3 and Q4.
Todd Mitchell – Kaufman Brothers: Okay. And did you – I kind of remember last year you did quantify the impact on your third quarter revenue from issues with that account.
Jose Mas: Yes. And it was substantial. Again I think you’ve got to put it into the context of the overall economy. I think sitting in the third quarter of last year, we didn’t expect some of the things that happened to happen in the overall marketplace. So there is no question that the business is down as you look at. And again, they haven’t released guidance, they haven’t released projections for the balance of the year. I think that they are performing at a very high level. And when you compare their business to that of their peers, they are far outperforming their peers. As we look at Q3 and Q4, we are being somewhat conservative internally and we’ll see what happens.
Todd Mitchell – Kaufman Brothers: Okay. Thank you. And one last question is – on the BellSouth, I think we saw lot more activity in AT&T’s U-verse in the Southeast this quarter. Can you comment on if that has impacted your business then at all?
Jose Mas: We were up with AT&T both year-over-year and sequentially quarter-over-quarter. That business was actually up 15% on a year-over-year basis, which we think is strong. Sequentially quarter-over-quarter, they were up 17%. So there is no question there we’re starting to see increased activity from them, obviously not at the levels of the type of business we saw from Verizon because their builds are different. But we are starting to see more activity from them and we expect it to continue as the year goes on. I think if you look at the U-verse numbers they are obviously improving, but I don’t necessarily think that that’s the result of the deterioration of their satellite numbers. I think that has more to do with the product offering.
Todd Mitchell – Kaufman Brothers: Okay. Thank you very much.
Jose Mas: Thank you, Todd.
Operator: Next we’ll move to Simon Leopold at Morgan Keegan.
Simon Leopold – Morgan Keegan: Great, thank you. I wanted to get a couple quick housekeeping questions first. First one is D&A, how you see that trending as well as CapEx on a quarterly and longer term basis?
Jose Mas: So, our D&A is beginning to increase obviously with some of the businesses that we are getting in into. Some of them are more equipment intensive. In areas where we own more of the equipment, if you think about our business, a big piece of our fleet expense historically has been on the van side of the business for the DirecTV vans, which had been leased rather than owned. So as we get into more of the construction businesses, we are going to own more equipment. So, on a peer dollar basis, that was about $6 million in the second quarter versus $4.8 million in the first quarter. And we expect that number to slightly increase as the full impact of Pumpco and some of the other things that we are doing take full effect. So we actually expect on a peer dollar basis that number to increase, and probably on a percentage of revenue basis, that number should stay somewhat similar. And can you repeat the second part of your question, Simon?
Simon Leopold – Morgan Keegan: Sure. Capital expenditures, what kind of CapEx budget do you have, given some of the new initiatives and assuming that there is a little bit of moving parts with Pumpco? And I want to try to understand how to think about the next coming quarters in the next year.
Jose Mas: Yes. So if you think about Pumpco, and obviously we’ve released a lot of information around Pumpco. You can see that in 2007 they made significant investments in their fleets, which also had somewhat of an effect on their early margins because they had a lot of fleet, but yet hadn’t started their large projects yet. So I think that specifically as we look at Pumpco, which has a large asset base, I actually think we are sitting pretty well in terms of what our expectations are from a CapEx perspective and I don’t see us having to make a lot of investments in that business over the course of the next year. We’ve given CapEx guidance in the past. We are actually running below our CapEx guidance that we’ve put out. And I think that if you took our Q2 numbers and pretty much annualize them, that’s kind of where we expect to be.
Simon Leopold – Morgan Keegan: Okay, that’s helpful. The next question is actually I guess more of a philosophical one. It is, on the upside you put up this quarter, why not pre-announce? Why not let us know about this sooner?
Jose Mas: Simon, it’s a good question. I think we’ve been busy running our business and excited about what we were doing, didn’t necessarily give that a lot of thought.
Simon Leopold – Morgan Keegan: Okay. And it sounds like the guidance in the tone is giving us the impression you are being conservative. So this is really a two-part question. So the first part would be, would you be more likely to pre-announce in the future given your answer to that last question? And in terms of the guidance, you’ve made some commentary about being conservative in terms of the Pumpco contribution. It does not at least appear to me that you are really getting a lot of operating margin improvement from Pumpco, particularly in light of the kind of performance it did in 2007. And then I want to make sure I understand how much of your comment is based on trying to be conservative and give yourself the ability to beat numbers, and how much is based on your view of what you need to do to operationalize Pumpco as well as the rest of the business?
Jose Mas: Okay. Couple of things. On pre-announcing, I don’t think you are going to see pre-announcing from MasTec unless there is a substantial change to what our expectations are. So we are going to be by a couple of pennies or we are going to be on the outside. Unless we have a change of heart, I wouldn’t expect you seeing MasTec pre-announce. On the Pumpco side, I think there is a couple of things. I think as we look at the future of this business and as has been drawn out on this call, we are obviously going through a significant revenue growth as we speak. We actually believe that that revenue growth can further accelerate. We are part of that acceleration and part of that growth that they seem today. Those come from somewhat of a changing business mix in their own business. They continue to do a lot of small pipeline construction and it continues to be a very good part of their business. But we actually see the future and we see the big opportunities in our business moving to the bigger pipeline. Again, it’s a business that we are underway. It’s performing well. But we don’t have enough history to make real good solid judgment on what the ultimate margins of that type of business will be. So we are taking a conservative approach as we look at the rest of the year for that business. We are actually trying to put that business in a position to grow and accelerate growth, and that does have a margin impact. So, to the earlier comments, I think that growing a business substantially does come with some expense to the margin side of the business. And I think the fact that we’ve been able to improve margins and predict improving margins throughout the year in spite of that accelerated growth is a very positive message.
Simon Leopold – Morgan Keegan: Okay. Just last one in terms of getting back to the DirecTV discussion. September is typically a good seasonal quarter for DirecTV. They are ramping more high definition channels and advertising I think aggressively. Just wondering whether you expect that kind of seasonal pattern to benefit your business with them in the third quarter?
Jose Mas: Yes.
Simon Leopold – Morgan Keegan: Great. Thank you very much.
Jose Mas: Thank you, Simon.
Operator: We’ll move next to Del Warmington at Delwar Capital Management.
Del Warmington – Delwar Capital Management:
Bob Campbell: As I mentioned, I’m not really excited about 59. I’ve become rather accustomed to 53, 54. It really is – there is some shift in mix with some of the newer businesses and some of them can drive our DSOs up. I expect to stay in the 50s. I don’t think I’m ready to give you a forecast more than that. Right now when I’m at 59, I’m trying to get back to the mid 50s. And that’s probably about as precise as I would like to be right now.
Del Warmington – Delwar Capital Management: Okay. Also revenue increased by 19% and basically AR increased by 24%. In the future, can we expect that AR will increase much faster than the top line?
Bob Campbell: Well, we had a double whammy in the quarter. We had the 19% increase, which would drive up accounts receivable, but that’s sort of spike versus other quarters. But the DSOs went from 53 to 59 in the same quarter. So the combination of the large revenue growth and the higher DSOs is what grow the really big increase in receivables.
Del Warmington – Delwar Capital Management: Okay, thanks.
Bob Campbell: You bet.
Jose Mas: Thank you.
Operator: Next we’ll go to Darren Maloney [ph] at Maridor Fund [ph].
Darren Maloney – Maridor Fund: Hi, thanks for taking my call. I think this is for Jose, kind of a follow-up from the first question, the first analyst, the gentleman from Janney Montgomery, about revenues and revenue growth. I’d like to maybe cut it the different way. Can you share with me the revenue growth attributed to acquisitions made during the last 12 months versus not, and I guess the growth rate, and the share of the two please?
Jose Mas: So again the question is somewhat dependent on how you view the Power Partners and wind energy growth. And our position is that we did not buy a performing business. We did not buy a business that came with a backlog, that came with contracts, that automatically added growth to our business. We had the earning. We had to go out, we had to convince customers that we were the right player for their business, we had to spend a lot of management time and effort to grow that business and basically start business from scratch. So why it was an acquisition? I would argue that that has the characteristics of organic growth a lot more than it does acquisitively. So backing out the growth from wind, of our 19% growth, about 8% of it was organic and the balance was acquisitive.
Darren Maloney – Maridor Fund: Okay. So just to clarify, so the 8% organic, is that – assuming the adjustment, the classification that you made, does that leave Power Partners in as organic?
Jose Mas: Yes, it does.
Darren Maloney – Maridor Fund: Okay.
Jose Mas: And I think that you’ve got to look at that deal as a whole. You’ve got to look at the purchase price that we paid for that. We didn’t buy the amount of revenue – we didn’t pay for the amount of revenue that we’ve done. We had to earn it. And I think that’s an important concept.
Darren Maloney – Maridor Fund: I respect your comment. But is that a number that you will share with me what it was without the – with the effect of the acquisitions?
Jose Mas: Well, you know what I did in wind. So you could back it out.
Darren Maloney – Maridor Fund: Okay.
Jose Mas: Wind was 6% of total revenues, so –
Darren Maloney – Maridor Fund: Okay. And so then, just maybe if we go down by product line, you did speak to utilities. Can you talk about whether the organic growth rate in the communications business and the government business was positive or negative?
Jose Mas: I mean – we talked about DirecTV being down year-over-year. It’s our biggest customer. So obviously it had a significant impact on the overall growth rate internally. When we look at the communications business outside of DirecTV, it was slightly down, which is somewhat typical for – we are not concerned of it. There is a couple projects that are starting. I think the important note to take away with the communications business outside of our DirecTV business that there usually is a ramp between Q1 and Q2 significantly. If you look at ’07, that increase in revenue was about 17% from the first quarter to the second quarter. If you look at 2008, that increase was 25%. So that business actually sequentially grew very nicely and at a higher clip than it traditionally has. So again that gives us a lot of confidence in the performance of that business going forward. Even outside of the utility acquisitions that we made, we saw some nice growth in that business. We saw growth in our government business. So overall, a slight decrease in the communications business, a slight – a more significant increase in our DirecTV business, which is the biggest part of the puzzle. And you start putting all those numbers together, we feel good about the growth rate outside of the acquisitions that we made in the quarter.
Darren Maloney – Maridor Fund: Okay. Just one follow-up to that, so I see the – if I look at your – the acquisitions that you made during the quarter, it looks like there’s some portion that is not Pumpco and that’s kind of the reason for the question here. Is there anything attributed to acquisitions that falls into communications or government?
Jose Mas: No, there is not. The other was a utility company that we bought late last year called Three Phase Line Construction in the transmission space. And that’s what makes up the difference.
Darren Maloney – Maridor Fund: Okay. And then the – last one was just on the cash flow from operating activities, maybe if you could just provide a little bit more color with – I don’t know if that’s a Bob question or you, but down 50% year-over-year, is it all attributable to accounts receivables and is there anything else there?
Bob Campbell: No, there isn’t. I mean, earnings were up, depreciation was up. It was strictly the spike-up in revenue and again our DSOs popped up from 53 days to 59 days. And we worked really hard on billing in collections, but some of that is frankly customer market mix, if you will.
Darren Maloney – Maridor Fund: Not attributable to Pumpco?
Bob Campbell: Yes, the different customers we grew with, it’s just the way it happened to work out. Some of the growth was with markets with customers and contracts with less favorable DSO characteristics than we’ve had in the past.
Darren Maloney – Maridor Fund: Okay. Thank you.
Bob Campbell: Yes, you bet.
Operator: And that is all the time we have for questions today. At this time, I’ll turn the conference back over to Mr. Jose Mas for closing remarks.
Jose Mas: Thank you. I would like to thank everybody for participating on today’s call. We’re obviously very excited about the future opportunities in our markets and look forward to sharing our progress with you on our third quarter call. Thank you.
Operator: And that does conclude today’s conference. Thank you for your participation.